Operator: Ladies and gentlemen, welcome to the Wacker Chemie Conference Call on Q1 2025. I am Sandra, the Chorus Call operator. I would like to remind you that all participants will be listen-only mode, and the conference is being recorded. The presentation will be followed by a Q&A session. [Operator Instructions] The conference must not be recorded for publication or broadcast. At this time, it's my pleasure to hand over to Joerg Hoffmann, Head of Investor Relations. Please go ahead, sir.
Joerg Hoffmann: Thank you, operator. Welcome to the Wacker Chemie AG conference call on the Q1 2025 results. Dr. Christian Hartel, our CEO; Dr. Tobias Ohler, our CFO will take you through our prepared slides momentarily. The press release, our presentation, and the detailed financial tables are available on our web page under the caption Investor Relations. Please note that management's comments during this call include forward-looking statements involving risks and uncertainties. We encourage you to review the Safe Harbor statement in today's presentation and our 2025 annual report regarding risk factors. All documents mentioned are available on our website. Chris?
Christian Hartel: Welcome everyone to our conference call on the first quarter of 2025. The performance of our operating businesses was in line with our expectations. Considering the overall market environment, we have made a good start to the year. Sales in the first quarter of 2025 came in at €1.48 billion, slightly below last year's level a substantially higher than the previous quarter due to typical seasonality. The reported group EBITDA came in at €127 million, and was well below last year's result of €172 million. This decline was primarily due to a weak demand for solar grade polysilicon and construction-related polymers and lower utilization rates holding the other segment back. When looking at the four operating segments, the cumulative EBITDA was just 3% lower year-over-year at €197 million. Overall, the Chemicals EBITDA at €145 million was up 6% year-over-year. This increase was driven by a strong growth in specialty silicones. Our Semi business with polysilicon also grew strongly with substantially higher volumes sold. Given the challenging markets, we focus on improving resilience through specialization, efficiency measures, and cost cutting. In Polysilicon, semi-grade materials are specialty products with high barriers to entry. Here, we are ramping up our new hedging line in Burghausen. The line will enable the next generation of chip production and strengthen our leadership position in the industry. With our growing semi volumes, we are improving our mix and resilience in the Polysilicon segment step-by-step. On our last call, I highlighted that we systematically leverage efficiency programs to lower specific operating costs. These long-standing programs are part of our DNA. On the next page, you can see the different wins for each division. These awards are a great way to regularly honor our team's achievements and keep the company focused on driving efficiency in lowering operational costs. Now, looking to sustainability. For us, this is not only about CO2, but also very much about safe operations. Producing chemicals clearly involves many risks. These risks need to be properly managed, and this requires a strong safety culture.
,: This is why we launched a new global safety initiative, effectively sharing safety information across all our plants globally. We intend to make our operations even safer by further raising awareness. At Wacker, safety is the precondition for everything we do. Consequently, our safety performance is part of management's remuneration packages. Tobacco operating system, a unique efficiency tool developed over a decade ago and is a key feature of our continuous improvement. At the annual WOS conference, we awarded four projects for the significant contribution to improving our operations. They have all something in common, increased output and productivity while maintaining or even decreasing costs. This combination yields substantial savings in specific operating and energy costs. Driving efficiency is not a matter of big wins. It is about continuously implementing many projects. Last year alone, we initiated nearly 1,000 projects, which yielded a net savings of about €16 million. These were all hard one, and we will continue to drive efficiency and productivity across our operations. Going to page 4 and here is an overview of some exciting new innovative products we presented at the European Coatings Show in Nuremberg in March. The Silver product is a silicon-based resin hardener for long-lasting protective top codes on high-value steel structures such as bridges. The durable epoxy polysiloxane top codes are highly weather and UV resistant and have excellent performance and safety benefits compared to competing products. Our Janus hybrid polymers combine the functionality of silanes with a polymer backlog. Essentially, we capture the benefits of both chemistries in one product. This enables our customers to formulate high-performance sealants and adhesives for an increasing range of applications. In addition, we showcased some new solutions that increase the sustainability of our products or improve the performance of product at lower carbon footprint. Our Ecoline sealant is made from renewable raw materials for natural stone applications. Our vinyl resins for heat sealing, industrial coating and printing inks are valuable with a reduced carbon footprint by leveraging renewable energy. And last but not least, we have polymer binder solutions for tile adhesives produced with composite cement. The new binders support the use of low carbon cements in construction. I encourage you to visit our website for more details on these specialty applications. So before I hand over to Tobias, let me comment on some recent headlines about trade tariffs and new German government policy initiatives. The German government recently announced massive fiscal support programs for infrastructure and effects. Additionally, the incoming government intends to lower energy costs in general by $0.05 per kilowatt hour by eliminating various taxes, fees and surcharges. While the energy-intensive industry is already exempt, from many of these items, at least to a different extent. The government has also signaled that they intend to introduce measures that would also support the energy-intensive industry. We see this as a renewed commitment to address power costs in Germany, but it remains unclear how they will implement it. We have been arguing for a industry power price for some time. It's imperative that Germany has competitively priced energy and that its energy-intensive industries have a level playing field with global competitors. So from that perspective, we welcome the German government's initiative to drive the needed investments and keep energy prices competitive. This will likely be a net positive for the German economy and our customers. But we remain cautious about what benefits we may see until concepts are both clear and implemented. Yes, this year's defining political news is the frequent and deep changes to US trade policies. Forward-looking indicators have weakened in recent weeks, particularly in the US but also globally. Current developments in international regulations, particularly potential customs conflicts pose a considerable risk to global economic development and security. Customers report increased uncertainty and our order intake has seen higher volatility in the second half of March and April. Given the frequency of changes to the tariffs and counter tariffs predicting the potential impacts of any reliable degree of certainty is difficult. We have, therefore, decided to leave our guidance unchanged. We expect group EBITDA between €700 million and €900 million. However, the potential impact of a trade war are not included in our forecast. Considering the increasing uncertainties in the market, we focus on further strengthening our resilience. We are driving efficiency improvements in digitalization, pushing ahead process and structural improvements. Bucker stays on course. We have confirmed our strategy. We have a strong financial position and are benefiting from global megatrends, whether it's renewable energies, sustainable construction, electrical mobility or digitalization. These trends will drive our business forward. And now Tobias for further details on our results.
Tobias Ohler: Thank you, Chris. Welcome, everyone. Looking at the profit and loss. Sales during the first quarter of 2025 were €1.48 billion. Group sales were down 1% year-over-year, due mainly to lower volumes of solar grade polysilicon sold. On the other hand, sales and chemicals were 2% ahead of the prior year figure. Sales growth in specialty silicones offset lower sales in polymers. Strong growth in biopharma significantly supported higher sales year-over-year in BioSolutions. EBITDA during the first quarter came in at €127 million versus €172 million a year ago. Looking first at the positive items. Chemicals increased earnings year-over-year. Chemicals EBITDA reached €145 million, an increase of 6%, driven by growth in specialty silicones. As Chris already pointed out, the lower group EBITDA resulted from lower volumes sold in construction-related polymers and solar grade polysilicon and lower utilization rates. Others held back the reported EBITDA by €52 million versus the €13 million charge last year. This year's higher charge resulted from the lower contribution from our equity stake in Siltronic, the lower absorption of group infrastructure costs, lower hydropower output in work housing and higher foreign currency hedging costs in the quarter. As a reminder, the main component of the other EBITDA is the CO2 compensation offset, in the first quarter, this was approximately €40 million. As in the previous years, we expect this will be refunded in the fourth quarter of this year. Due to the lower reported EBITDA and the higher depreciation EBIT was at breakeven. Depreciation has been increasing in line with the higher level of investments in the past couple of years. We have reduced investments this year. Our focus is on filling new capacities. Our total net income was a negative €3 million equating to a loss of €0.16 per share. Our balance sheet shows strong financials with a high liquidity of €923 million, €4.8 billion in shareholder equity and a low net debt position. Net working capital increased by €148 million in the first quarter of 2025 as trade receivables increased by 15% over year end. This primarily reflected the typical seasonal increases in chemicals. Overall, the reported inventory position decreased somewhat in the first quarter. This was due to the polysilicon sales exceeding production volumes. As you recall, we built significant inventories in polysilicon last year and have taken steps now to match production with demand. Going forward, we look to use these inventories to meet the potential demand recovery for solar-grade polysilicon. At silicones, sales in the first quarter were approximately €745 million, up 5% year-over-year. Due to typical seasonality, sales were 15% higher quarter-over-quarter at €108 million, EBITDA was up 33% versus the prior year. This increase was primarily due to a significantly better product mix amidst stable pricing. Specialties continued to see volume growth. Healthcare applications and high-performance LEDs in display performed particularly well. The EBITDA margin was 14.5% compared to 11.4% a year ago. While this represents a step in the right direction, the reported margin is well below target and still unsatisfactory. We are focused on portfolio management and efficiency measures to improve the overall level of profitability. Looking at the proposed US trade tariffs, some silicones appear to be exempt from tariffs. However, any outcome remains unclear. Important to note is that the US market is undersupplied and needs imports to function. For this reason, we expect to pass on most of the cost of any additional tariffs. Therefore, we only expect a minor direct impact from the proposed tariff, but see the potential for indirect effects. Telecoms are at the start of many value chain, and if customer products are impacted, we will also see lower demand. Our expectations are unchanged for the full year 2025, but highlight a higher level of uncertainty due to tariffs. Demand in the US became weaker in March, and we need to see how trade talks develop and what impact this may or may not have. At Polymers, sales in the first quarter were €360 million, 3% below last year, and up 7% quarter-on-quarter due to seasonality, somewhat lower prices and volumes in construction-related binders drove the year-over-year sales development. In addition, EBITDA in the first quarter was held back by lower utilization year-over-year and inventory effects. Ongoing weakness in construction in Europe and Asia offset volume growth in the Americas, demand for dispersions remained at good level and volumes were at the prior year level. For the full year 2025, our expectations for polymers are unchanged. As with silicones, we also see higher US trade tariff-related risks. While our US polymers business is, for most part, regionally contained and sees limited direct impact, the indirect impact may be meaningful, particular building material costs may increase due to the US tariffs recently built-out confidence in US has dropped. This translates into lower construction rate, there we will not be immune to this. At Biosolutions, sales during the first quarter were €91 million, up 27% year-over-year, but 14% lower than the previous quarter. Biopharma drove the sales development in both cases. The improvement year-over-year was due to the reservation payment in connection with the German pandemic preparedness plan. The lower sales compared to the previous quarter were due to the timing of biopharma project completions. These effects carried through to the EBITDA line, earnings were on par year-over-year, but well-below the previous quarter. As a reminder, last year's first EBITDA benefited from a good product mix and customer projects. Our expectations for the full year 2025 in Biosolutions are unchanged. We do not see a major recovery in biotech this year yet, and we expect the market environment for CDMOs to remain challenging. At Polysilicon, sales in the first quarter came in at €245 million, 18% lower year-over-year due to significantly lower solar grade volumes sold. In comparison to the preceding quarter, sales climbed by 18%, higher volumes in both semi and solar grade polysilicon drops. The first quarter EBITDA was €29 million, including only a small IRA contribution. This level of earnings was comparable to the performance of the past two quarters; lower energy costs and an improved mix supported earnings, but the sequentially lower utilization rate helped them back. For the full year 2025 in polysilicon, our expectations are unchanged. As highlighted on the last call, we based the lower end of the range on contractual supplies, scenarios above the low end of our EBITDA guidance range require an improvement in demand beyond our contracts. During the quarter, the preliminary and now final antidumping and countervailing determinations for some Southeast Asian countries increased significantly. Needless to say, the higher tariffs create additional uncertainty in the market and the supply chain will need some time to adjust for that. On the other hand, our strategic focus is on semiconductor policy. Here, our volumes are growing nicely and the ramp of the new etching line is on track. This will support our businesses overall resilience. Now, let's look at our net financial position. In the first quarter of 2025, we generated a gross cash flow of €32 million trade receivables driven by typical seasonal patterns in chemicals helped back the cash flow. After cash flow from investing activities of €197 million and some other effects, we ended the quarter with a net debt of €880 million. Before we start with the Q&A, let me summarize. Wacker is well positioned financially and strategically. We have made substantial investments strengthened our asset base and improve our regional exposure. Our specialty business is performing well in a challenging environment, and we will continue investing to serve our customers in attractive markets. Given the overall economic and geopolitical uncertainty, we need to remain flexible. We are taking actions to ensure that we have the right balance between supporting our customers' growing businesses and being prepared for more challenging economic conditions, should headwinds become more persistent. Operator, we're ready to begin the Q&A now.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Christian Faitz from Kepler Cheuvreux. Please go ahead.
Christian Faitz: Yes. Good afternoon. Good morning wherever you are. Thanks for taking my two questions. First of all, could you please give us some insights how demand in your chemical activities progressed during the first quarter, i.e., did we see an acceleration or a deceleration during Q1? You already pointed to March being relatively weak in the US, I understand that. But maybe give us a general observation. And how has Q2 started in terms of demand, please? And then my second question is on silicones. Your unchanged fiscal year guidance calls for slightly higher margins versus '24. Could you please elucidate what slightly means in numerical terms because if I take the very healthy Q1 margin, we would be looking at a sequential decrease from here on? Is that a correct observation?
Tobias Ohler: Christian, Tobias here. I would start with the first question on demand in chemicals in the first quarter half. How is the shape being up? So ion general we see good demand for our specialties in silicon. And that is definitely the growth, but order entry has become more volatile and short term. On the standard products, which are not in focus, the dynamics standards are largely unchanged. China remains weak, and we also see idle upstream capacities in China. So I would say, March was a tick lower than expected from that uncertainty. But overall, we expect to see a moderate seasonal uptick also in the second quarter against the first quarter, the moderation coming from that tariff uncertainty and also a bit from the exchange rate move that was quite drastic over the last few weeks. In polymers, the next chemical segment, order entry has not changed that cyclically as in silicones and also regional dynamics are unchanged. So US and some parts of Europe stronger than Asia and stronger than definitely than China. So construction powders are still weaker in Europe and China, but our dispersions, which are broadly more I mean, addressing consumer markets an industry have maintained good overall demand. But also as in silicones, we expect only a moderate seasonal uptick now for the second quarter against the first quarter. We also would expect a higher EBITDA, but this will be held back by a major man turnaround, which we have, yes, every other year. And in the past, we had a cost of 15 million to 20 million, so a significant cost for this. So this will hold back a moderate seasonal uptick is still visible from the order patterns. So much for the two chemical divisions and update. On the margin, I think we had a good start in the first quarter in silicones. That is basically due to, yes, a strong product mix. We guided for a slight increase. So I would say a slight increase is also 1 percentage point. So maybe two, I would not extrapolate now with the seasonal pattern, the very strong start from the first quarter. Hope this help?
Christian Faitz: Yes. Thanks very much. Very helpful.
Operator: The next question comes from Tom Wrigglesworth from Morgan Stanley. Please go ahead.
Tom Wrigglesworth: Thanks very much for the presentation and opportunity to ask questions. First one, if I may. You talked about the supply chain adjusting in polysilicon to the antidumping, countervailing duties. How will you adjust your business? Are you still selling the international price? And who -- and how inforcable are your contracts, given the price premium of that product and what looks to be a much more challenging export environment from Southeast Asia into the US market. So I'm kind of keen to understand the dynamics you're seeing there? Second question is with regards to the silicones business and the input cost environment, is there a benefit from the upstream being loose in siloxanes in China, which you and peers have been citing. Can you capture that? And more broadly, what is the raw material basket doing, looking forward for the rest of the year for silicones explicitly? Thank you.
Christian Hartel: Okay. Tom, this is Chris here, and I will start with the first question you had on the polysilicon. Well, obviously, the -- now with the final ruling of the antidumping and countervailing duties, there is more clarity on this part. These numbers are higher than expected. I think that is kind of also the market view on it. And that will lead and hand that to our understanding to also an adjustment of supply chains. You can read a lot about, shifts towards layers or shipped levels or shipped towards India, for example, or Indonesia. Your question on, what process are we selling? We are definitely selling at the outside China price and not at the inside China price, that didn't change at all. And as we also mentioned last time, we have contract firm contracts in place. And obviously, our customers from today expect to see a benefit in buying this material in order to produce UFLPA-compliant solar modules. Tom, your second question -- your question was around is a loose market on the upstream helpful for us, especially also in cysteine prices in China being low. As I said, our focus on specialty silicones, but we are also -- as we are fully integrated, we are also still selling some standard products. So softer upstream is not supportive, because we also have to run our plants at high-utilization. And yeah, then have dilutive effect in our margin from the standard product. But the focus going forward is to have less and less and less of this and move more to more differentiated products. In general, on the raw material side, there are some positives. We see a little lower silicon metal and energy costs supporting us. But on the other hand, methanol the other raw material is going up, but it is essentially for everybody the same and it's not a huge trend that we are talking about in this year.
Tom Wrigglesworth: Just one quick follow-up, on that, so have you seen the maximum switch now back to specialties, you're now running at the optimum or the maximum mix of specialties versus commodities and silicones or is there more to come?
Christian Hartel: There's more to come.
Tom Wrigglesworth: Okay. Great. Thank you very much.
Operator: The next question comes from John McLoughlin from HSBC. Please go ahead.
John McLoughlin: Thank you and good afternoon. On your increasing sales of Semi-Grade Polysilicon, could you just update us on where you are in terms of market share and ultimately, the scope for further sales increases in this market? And the second question is also on Polysilicon. I mean, your base case guidance midpoint assumes improvement in the second half in demand as well as your ability to sell from inventory. I mean, how confident are you today on that happening versus three months ago? Thank you.
Christian Hartel: Okay, John. This is Chris. I will take your questions here. Well, on the semi-grade, I mean, as we said in recent calls, we assume our market share is around 50%. We are expanding with our new hedging line in [indiscernible], which will be officially opened here in July. We are -- it's well progressing. The final steps of the installment of the checking of the systems. And as we also said, a huge part of the volumes are already under contract for this new plant. And it will enable us to -- us and our customers to deliver new high-quality material, which is essential for new applications in the semiconductor world. And from that perspective, it will give us opportunities for further growth, which might also lead to an increase in market share. Your second question was on the guidance for polysilicon. And let me reiterate what we said last time. So the lower end of the guidance the €100 million. So the logic behind that was that we say the business in this year would be a continuation of we saw in the second half of last year. And that is essentially also what we saw in the first quarter of this year, excluding, of course, the IRA benefits. We do see the potential that there is an increasing demand. And why is that coming up in -- probably in the second half of the year because we still believe if are convinced that the U.S. market will remain a premium market for solar applications. And from that perspective that there will be demand for U.S. compliant modules and hence, U.S.-compliant polysilicon. And I think now customers, as we said in the prior question, customers are reshuffling their supply chains. And that also includes reshoring to the U.S. And that could be the uptake of our guidance coming closer to the midpoint that there's more demand for this material.
John McLoughlin: Very clear. I mean, in your experience, how quickly can this happen? Because the solar industry has historically been quite nimble at kind of moving around, let's say, tariff related kind of government in positions. I mean is this a one quarter switch? Or is this likely to take longer?
Christian Hartel : Yes. Well, you've seen in the past that the industry can move rather quick. And so I would say about one to two quarters would be a fair assumption. And we have seen -- I mean, we have seen inventories in our hubs that was in '19 that our inventory came down significantly just in a few weeks. So is the supply chain can react, yes, we have seen that.
Operator: The next question comes from Chetan Udeshi from JPMorgan. Please go ahead.
Chetan Udeshi : Hi. Thanks taking for taking my questions. First, on polymers, I think I understand you are a bit more balanced, but can you remind us in your silicones business, how is your trade position in North America and U.S., especially from what I understand, you don't really have any upstream production. So are you importing from your German business in the U.S.? Or are you buying from others in the U.S.? And I guess, can you confirm that given silicon as a group is excluded from the reciprocal tariffs anyway the impact for you, even if you are importing from Germany should be rather minimum or minimal, sorry, in your business. The related question is on your polysilicon business, I mean you need silicon metal. And can you remind us how are you -- where are you sourcing silicon metal from for your US polysilicon production? And is that something that would bring more cost from a tariff perspective. The second question is just going back to your point earlier on volatility in orders, which I understand. But if you were to just sort of draw a trend line in your silicones business? Are your volumes still tracking up year-on-year at this point or have they started to flatten out or even decline year-on-year?
Christian Hartel: Okay, Chetan. Let me start with the first question on the silicones, the US and the trade position. And maybe let me start with a general statement for the group. And obviously, we did our homework and made an analysis on what are the impacts of the trade restrictions after Liberation Day. And so we come up to a number of about €20 million to €30 million for the entire group, based on these original Liberation Day duties. Now they have been postponed, and now we have the only 10% effective so far in place. So that number would be even lower. But as you mentioned, and I can confirm this, most of chemicals are actually excluded, not only the silicones. And I think you can -- when you hear from reports from peer companies from us -- it's a similar picture, most chemicals are exempt from the duties. And that's the reason why we see around overall €20 million, €30 million for the whole group. And a part of that is silicones. But yes, Chetan on the silicon metal sourcing for our US plant in -- for Polysilicon – beside I know and we mostly have it domestically, there's two suppliers that we can source from. So I wouldn't see an impact from any tariff yes, event committees in that respect. And with your question to silicones and orders and how have they shaped up, I would say we have seen a somewhat weaker order entry starting in mid of March, but it was definitely not a cliff. It was -- then getting back better again. So we also had some stronger days. So it's really that we are talking about little uncertainty that is also coming through in our order patterns already. So it's more volatile, but it's -- yes, also including some stronger days. So that's why we still have ahead of us a muted second quarter seasonal recovery with all the uncertainty depending on how things develop for sure.
Q – Chetan Udeshi: And if I can follow up, what do you think is the impact Wacker will see, if any, from the announced closure of Dow's siloxane production in the U.K.?
Christian Hartel: Well, Chetan, we saw an announcement, and obviously, it's due to the competitive situation. That's what you can read about it. Obviously, we don't know more details than that, and they would be the perfect guy to ask. But let me make just a general statement. If you look at the global siloxane world, there is overcapacity globally, which is mainly almost entirely in China. And now on -- if you look again on a global scale, if some capacity is going to be idled and getting out of the market, I think, in general, that's a positive sign. But that's all we can say at the moment because I think there's also some unclarity on the time schedule on that.
Chetan Udeshi : Understood. Thank you.
Operator: The next question comes from Sebastian Bray from Berenberg. Please go ahead.
Sebastian Bray: Hello, good afternoon and thank you for taking my questions. I just have two please. The first is on the underutilization of infrastructure in the other segment because this has got -- it's starting to have a substantial effect on the P&L, is this related to what's happened in polysilicon? In other words, if polysilicon runs at 50% utilization for the next few quarters, does the other line stays stuck at a lower level than had originally been anticipated? Or is there any reason to assume the situation improves in Q2 or Q3? My second question is on Biosolutions, the -- is it a disadvantage for Wacker potentially in the biopharma segment to have Europe-only production? How much of the current production from the Biosolutions segment is exported? Thank you.
Christian Hartel: That will be a question on others and our infrastructure. As I pointed out, other was held back significantly against prior year and underutilization of group investor is just one component. The other elements are lower equity income and hedging costs to allow you to understand a bit better what group infrastructure also included, I also mentioned that the power output of our hydro plant in Burghausen was lower. This was just due to the reason that we have lower water level, the drought in the start of the year. And compared to that, we could produce less electricity and this is a super-efficient plan for us, and this also caused deviation against last year. Yes, for sure, there is a bit of a component that under-utilization and polysilicon is also leading to lower utilization in infrastructure, but that's -- so I mean, there's various other reasons that explain in total, the difference against prior year.
Tobias Ohler: Okay. And Sebastian on the question -- on your second question on a potential disadvantage for Biosolutions having only EU assets. But first of all, by solutions does have some assets also in the U.S., especially if you think about our cyclodextrin business, which is produced in the U.S. and also for our biopharma business with the San Diego site, we have activities and operations in the U.S. So it's not totally EU based. There's a big share in the EU, but if we look at how projects are won and our projects are dealt with customers, typically, it's all about having the right capabilities, having the right people, having the right capacities. And the question of regional setup is not a prime one. So from that perspective, my answer would be there's no disadvantage for us with the footprint we have in Biosolutions.
Sebastian Bray: That's helpful. Thank you for taking my question.
Operator: [Operator Instructions] The next question comes from Geoff Haire from UBS. Please go ahead.
Geoff Haire: Yeah. Good afternoon. Most of my questions have been asked. I did have one remainder, and this is probably a slightly old question on tariffs. But do you see any areas across the group where you could actually benefit from tariffs, i.e., where you are -- you have lower tariffs on products that you will supply into the US versus maybe Chinese products, which have much higher tariffs?
Christian Hartel: Well, Jeff, that's a very good question. But I think I would love to give a good answer on that. But unfortunately, I cannot because the situation is that volatile that it is really hard to predict what will be the impact on us or on our customers. And yeah, there's not much more really to say because I think the -- also the tariff scheme with China is definitely not sustainable for neither side in my view, and there needs to be a change in that. And therefore, I think what we see at the moment are just yeah, a day-to-day perspective on what could happen. And therefore, I cannot give you a good answer on that.
Geoff Haire: Okay. Thank you.
Operator: Ladies and gentlemen, that was the last question. I would now like to turn the conference back over to Joerg Hoffmann for any closing remarks.
Joerg Hoffmann: Thank you, operator. Thank you all for joining us today and for your interest in Wacker Chemie. Our AGM is happening on May 7, and our next conference call on the second quarter of 2025 results scheduled for July 31. As always, please don't hesitate to contact the IR department if you have further questions on Wacker Chemie. Thank you for your interest.
Operator: Ladies and gentlemen, the conference is now over. Thank you for choosing Chorus Call and thank you for participating in the conference. Have a nice afternoon. Good bye.